Peter Nilsson: Thank you. Peter speaking. Welcoming you to this interim report for Q3 2023 for Trelleborg. I'm going to start off with some overall comments and also commenting on the business areas, and then Fredrik will guide us through the financials, before we sum up with a summary of our presentation. And then, opening in up for a Q&A session in a way, as usual, when we are presenting our quarterly reports. So moving over to the slides, which I trust you can see on the screen, if you have not have them already downloaded from our web page. Turning then to Page 2, agenda, starting with the highlights. Then as I said before, go through the business areas, commenting on the financials, make a summary and then go through the outlook for Q4 with some comments on that and then opening up for the Q&A. So turning then to the next page, Page 3. Heading for the report continued strong earnings growth. As you can see, we are growing our sales by 12%, supported by currency, but also supporting by some structural growth, some acquisitions, while organic sales is flattish or slightly in the negative territory, while then, as I said before, M&A adding some shy of 10% and currency some shy of 5%, which in total then sums up a 12% sales growth. And a similar growth in EBITA grew by 11%, which means that the margin ends up at 17.6%, which is kind of an inch down, note down compared to a year ago. So basically, we were able in the quarter fully for the inflation in order to absorb some of this M&A coming in with a slightly lower margin. So basically good performance for us and where we are able to manage these flattish organic sales in a [indiscernible] continue to the restructuring, continue also to develop and create a more efficient Trelleborg. We're investing in the structure. We have already -- as we commented already in the last quarter, we have already several actions initiated and more of them ongoing in order to adjust for this more flattish sales development expected for us. Cash flow, very strong, very happy for that. Well managed working capital. We are, let's say, giving credit to our units, managing inventory, managing also account receivables in a very good way. It turns out a very good cash generation even though, as you will see later, Fredrik will guide you through that, even though we remain also on the high CapEx level. But all in all, a very good cash conversion. If you're looking for the last 12 months, Fredrik will also guide on. We also highlight that we actually divested an automotive-focused operation in Czech Republic signed yesterday. So that is kind of the last kind of non-core Czech operation – non-core operations being divested from us might be some -- always some minor fine tuning, but this is one thing which we have been reporting centrally in Trelleborg, so it's not been part of any business area. And this is, let's say, a zero profit activity, which we're now divesting and exiting. So we are happy to get that done and move forward now and only having core businesses left in Trelleborg. So moving on to the next page, some more comments on organic sales. As you can see, a more -- relatively okay, we're still positive in Europe and flattish in North and South America, while we see Asia going negative. So Asia is the one which is pulling us into negative territory. And then as for a lot of other guys, primarily China then, which is still a little bit short of expectations and where we are also managing this in a good way, of course, adjusting for this lower demand in China as well. But overall means that we end up at minus 1% on the totality. Turning to page, agenda point again on Page 5, business areas. Quickly then turning to Page 6. Heading Industrial Solutions continued to improve, highest margin to date for this business area, although organic sales is here as well, minus 1%, a mixed bag of performance. I get back and comment on that one. M&A, a tiny add-on here, of course, a small M&A that has been done in the last year. We note continued weak sales. We say weaker sales. I mean, I don't say it's just being bad, let's say, any worse than before, but this remained on a low level. So quarter-on-quarter flattish, while on year-on-year still substantially down. So that is kind of what is pulling us down overall. And also, we note in certain what we call Industrial segments. There is also a negative growth. And this is as we get back and comment more maybe on Sealing Solutions, where we note that there is -- we believe there is some inventory reductions ongoing, which has been impacting us as well as others who supply components into these more capital goods related industries. Very strong sales in the Marine segment and especially happy here that we, let's say, are growing in what we call our SmartPort concept, which is more what we call marine technology business. So that is, let's say, a strategic move that we've been pushing for, for some time. And we now noted satisfaction that we see some benefits of this. So this is good sales and also having a positive impact on the margin. On the more kind of stable business, if I may say, automotive and railway developed also favorably, which is railway related more to product sales, while automotive, the underlying demand keeps on a solid and healthy level, which is benefiting us in Industrial Solutions. And in total, then EBITA is up on price adjustments. And we also -- we are hit by the inflation here, but not a big thing anymore. But nevertheless, it's been a positive in the quarter. And on top of that positive mix, as I said, Marine segment is coming in and bringing up the margin somewhat by delivering better profitability than the rest. And all in all, once again, highest EBITA margin, and we are now in this quarter, 16.2%. So of course, with satisfaction but not to say that we remain for every quarter on the 16%. But nevertheless, we are approaching a higher level, and we are satisfied with the development on Industrial Solutions, and we do believe that we will continue to improve this step by step.  Turning to the next page, Sealing Solutions. Here, I mean, a lot of investment is ongoing, and we are both integrating Minnesota Rubber, while also continuing to invest, especially aerospace, in medical and health care and also in electronics, semiconductors in order to grow those areas. In the quarter, we had aerospace and healthcare, medical remained favorable, good growth overall. Automotive increased as well. While we hear is being hurt a little bit to call industrial demand where we see that some segments is down substantially more than underlying market with you don't read. There is some inventory reductions ongoing, it has been ongoing also in the last quarter and continued into this quarter, difficult really to estimate how long it will remain. But for sure, we are at the moment kind of delivering below the underlying market, which is definitely then impacted by this inventory reduction for some of our customers. And overall, that means even though EBITA in absolute figures improved. We dropped on the EBIT margin, which is then due to acquisition of MRP still being integrated and still having a negative impact. And also on top of that, these investments that we're doing, especially in people is hurting us somewhat in terms of profitability, while we, of course, are doing this in order to create a better foundation for both growth and profitability long term. So overall, although margin is down. We are satisfied with the development of Sealing Solutions. There is, of course, improvement area as everywhere else. And we are looking forward to this kind of industrial supply getting back while remaining positive on aerospace, health care, medical as well as electronics or semiconductors. So this is the quarter for Sealing Solutions. Moving to Page 8, some on sustainability, continue to improve, focusing here on CO2, 20% down on intensity year-on-year, of course, a solid movement. But also for those of you reading moving to the next page and talking about more what is behind this is, of course, that renewable energy is increasing, and we're now running at a 60% level, and we do expect that to increase further. So we do expect our CO2 emissions to continue to go down. Very good development in these areas, credit to the people within Trelleborg working with this, and we have seen very solid ground to get to our targets in this respect. Also on the right side of the slide, you see lost work cases, which, of course, extremely important as well, safety at work, as we call it inside in Trelleborg, which is also continuing on a good level. So well managed in terms of these key sustainability KPIs. And as stated before, this is, of course, a focus area for us, and we do -- although good, let's say, development, we do expect continued improvements going forward. Moving to the next page, Page 10, agenda, financials and then to Page 11, where I hand over to Fredrik to go through the financials.
Fredrik Nilsson: Thank you, Peter. Looking at the sales development on Page 11. We have organic sales decreased by 1% in the quarter. Both business areas declined by 1%. Reported net sales increased by 12%. We have 9% impact from acquisitions during the quarter, while currency added 4%. Moving on to Page 12. The third quarter was a spot on quarter on our sales growth target. And as you also can see in the graph, we have been on or above our sales growth target the last 10 quarters. Moving on to Page 13, showing the quarterly sales rolling 12 months for continuing operations. The sales of SEK8,458 million was the highest to date for our third quarter. And at a rolling 12-month basis, the sales almost reached SEK34 billion. Moving on to Page 14. Looking at EBITA. EBITA, excluding items affecting comparability, increased by 11% to SEK1,487 million with profit growth in both Industrial Solutions and Sealing Solutions. In the result, there was also a translation impact of SEK34 million compared to the corresponding quarter last year. EBITA margin, 17.6% in the quarter, initially impacted by acquisition, as Peter mentioned, but we are also investing in the organization of some fast-growing market segments. Moving on, Page 15. Looking at the EBITA and EBITA margin on rolling 12 months basis. The positive trend continued with increased EBITA as we early communicated the margin declined somewhat in the quarter. On the roughly 12 months, the EBITA amounted to SEK5,918 million, with a margin of 17.4%. Moving on to Page 16, looking at some further details in the income statement. We have items affecting comparability in the quarter of SEK111 million, which is entirely related to restructuring costs and those restructuring costs are -- for because we are adjusting our cost base due to the lower demand. Financial net decreased from SEK69 million to SEK44 million. That was an impact by higher interest expenses, but this was offset by higher interest income attributable to the Group's net cash position. Tax rate for the quarter amounted to 25%. We have earlier guided for 26% for the full year, and that still stands. Moving on, Page 17, earnings per share. Earnings per share for continued operations increased by 19% from SEK3.52 per share to SEK4.19. If you then look at the Group, it's down 20%, and that is due to the earlier divestments of Wheel Systems and Printing Blankets this year. The impact from those two business units is SEK1.46. Moving on to Page 18. As Peter said, we are really happy about the cash flow development, where we now see an increase from SEK928 million to SEK1.6 billion. Supported by higher earnings generation, but in particular, we are seeing a very good working capital development, improvements both in inventory, receivables and in other working capital items. Net CapEx up as earlier communicated, and this is because we're expanding our footprint with earlier communicated greenfield investments. You can also see that leasing payments is higher in the quarter, but that's linked to the ongoing greenfield investments. Moving on to Page 19, looking at the cash conversion on a rolling 12 months, you can see the very good trend continue, and we now have a cash conversion ratio of 99%. Moving on to Page 20, looking at the gearing and leverage. As the Group is still in a net cash position, the sign has now switched to a negative, but that means that we have a net cash position. We have also done a share buyback of almost SEK1.2 billion during the third quarter. The net debt/net cash in relation to EBITDA was minus 0.1 end of the quarter. Moving on to Page 21, return on capital employed. It's reached 13% in the quarter, and that was because it was initially impacted by acquisitions with lower returns. That's the reason for the decline in return on capital employed. Going over to Page 22, some guidance for the full year. CapEx SEK1.6 billion, it's an increase from SEK 1.5 billion, and that is due to that we have a good pace on our large projects. That will also be on a relatively high CapEx level in 2024, but then we expect a significant drop in from 2025. So from current level, we assume right now that it should be around SEK500 million lower. Restructuring costs, we are increasing them from SEK400 million to SEK500 million, and that is due to the integration of acquisitions and also the measures we are addressing to attack -- address the challenge with the lower demand. Amortization of intangible assets, around SEK500 million and underlying tax rate, as I said, 26%. And by that, I would like to hand back the microphone to you, Peter.
Peter Nilsson: Great. Thank you, Fredrik. Again, the slide again and going over to the summary and then some comments on the outlook and then some Q&A. So strong earnings growth in the quarter, flattish organic sales, but sales nevertheless, up by 12% in Swedish krona, assisted by M&A and currencies. EBITA also increasing with the same amount, which means that we have a flattish margin year-on-year, even though, let's say, this a little bit sluggish demand in a few areas and also this continued pressure on from inflation. So, well managed. We are satisfied with this, let's say, this development, of course, aiming for more. We get back on that. Items affecting comparability, slightly higher, as Fredrik already addressed due to the fact that we see continued possibilities to improve the structure following the M&A but also in a way to use this a little bit lower demand in order to build a more efficient Trelleborg long-term. Very good cash flow, which we see also as a very healthy sign that that we are delivering this EBIT without building inventory or without allowing our customers to pay later. And on top of that, also as Fredrik also comment on, we were also investing for the future. I mean, I think we need to be aware. We have, let's say, a lot of new CapEx coming on. We -- two new plants coming up in Vietnam. We are doubling our capacity in India, also recently opening a new factory in China for the local Chinese market. We are opening our first factory in Japan. And we are also investing in efficiency and better factories also in Europe and North America. So this is kind of an investment cycle for us in order to create a better growth prospects going forward, and we are running at -- in a way, more or less all-time high CapEx level. And as Fredrik said, this is a decision that we made in order to build this better platform will remain high also next year. But then as Fredrik said, it will drop dramatically here when we go into to 2026 and beyond. Also, highlight here that we divested this final piece that we don't really see as a core business and automotive focused factory in Czech Republic was signed and divested yesterday. This is kind of a zero negative profitability operation, which we then are happy to get out and leave to somebody else to develop. Moving on to the next page, talking about the outlook. We do expect the development going forward to be similar as the third quarter. I mean, we can actually share with you that our order intake in the quarter is very much the same from Q2 and Q3, which is in a way surprising and we do read it into the situation that we are, as we commented before, we have been hit a little bit by the inventory reductions, and we see signs of these inventory reductions actually disappearing. It's a little bit difficult really to know, since it's call-offs and other, but we do not see that any drop in order book anymore. And we are kind of therefore, we are confident in giving this guidance that we will see a similar demand in Q4 as we've seen in Q3. Yes. Then, of course, also we note with dissatisfaction that is the geopolitical situation is not getting easier. And of course, there's a lot of uncertainty related to this new disasters happening around the world, and we cannot fully disregarded that with an impact on demand, but that is something that if it happens, then of course, we feel ready to address this and adjust as we always do. I get a high hint there from Christofer that I made a mistake of our CapEx will be down in 2025, not 2026. So that is something I made a mistake by saying 2026. It will drop dramatically already in 2025. So with that, leaving to the agenda and then going over to Q&A on page 27. So please go ahead, those of you who are interested in asking some questions and get some more inputs. So please go ahead.
Operator: [Operator Instructions] The next question comes from Klas Bergelind from Citi. Please go ahead.
Klas Bergelind: Hi, Peter and Fredrik. It’s Klas, Citi. So my first question I had was on TIS and the mix impact from the good development in Marine in the SmartPort concept. This is the second time TIS beating expectations by quite a wide margin. And I'm keen to understand, Peter, to what extent the margin improvement is driven by this mix versus underlying sales up and price cost. You said slightly driven by mix, but it's a pretty good improvement year-over-year in light of the organic sales being down a bit, if we can start there. Thank you.
Peter Nilsson: We don't see the surprise. And we shouldn't, let's say, exaggerated this mix impact. It's simply an underlying basic improvement of Industrial Solutions, which has been seen for the last 10 years. So this is kind of simply, let's say, a continuation of that push. It might be a few tens of percent or half percentage point or something, which is a mix impact. But overall, we have improvements more or less all over in this. And I mean this is a structural improvement, which is happening. We are investing in new factories. We are investing in a better structure. And in a way, Klas, I mean, I hear this comment, but we are not surprised that it's improving. And we have been guiding that it will continue to improve. It might be a little bit in between the individual quarters, but the long-term direction of half percentage point or one percentage point improvement on the margin year-on-year. I mean, that has been the situation in Industrial Solutions for the last 18 years. That is, I think, is not really -- it shouldn't be a surprise.
Klas Bergelind: No, it's more reflecting back to the CMD, you said that the CMD, we have always improved the margin by 50 basis points per year, and we continue to do that. And then I remember, I asked the question to you, so is this mix related? And I, at a time, didn't get the impression that it was mix, it was more cost. So that might fall…?
Peter Nilsson: It's correct, Klas. I mean, the mix impact on the annual improvement is not there, but it's more that in this individual quarter, there was a little bit positive impact from the mix. But overall, it doesn't really -- we don't expect that to remain with this magnitude of improvement year-on-year, but it will continue to improve year-on-year, but not maybe with the magnitude that we saw in this individual quarter.
Klas Bergelind: Perfect. And my second one is on TSS. And China is down quite a lot, and I think I have higher margins, so that's weighing a bit on mix, but they should normalize once China comes back. And then we have MRP and the investments you're doing in the front and in the speedboat segments. On MRP, the sales contribution came in below my expectations a bit. Can we talk about trading here, whether the trading in MRP is in line with your expectations or perhaps slightly below? Thank you.
Peter Nilsson: It's basically in line. But, of course, it's getting -- we are working with this integration, and it starts to be difficult to separate exactly MRP performance compared to others and we are transferring it internally. So basically in line. Of course, there is always something, which is good or something, which is bad. But overall, it's basically in line. I mean what we do, I mean, if you say TSS, where we have a negative surprise, I shouldn't say. But where the negative is in this inventory reduction in some of the core industrial segments, which was for sure, we have been selling less than the underlying demand. If you talk, let's say, the wide fluid power segment, if you may say, which is one of the biggest segments we have within TSS selling into hydraulic equipment, pneumatic equipment, automation, these kind of products, and that is where we have a far higher drop than the market and a far higher drop where we expected. And that is probably where we were. But we are a little bit caught by a surprise, where we're a little bit behind on adjusting for DSV, we were kind of gearing up for a slightly higher demand and suddenly, there was a drop-off of call-offs. And I mean, that is the area where we are, I say, surprise is the wrong word, where we're a little bit slow in adjusting and that is something we're working at the moment in trying to read the situation. I mean, the underlying order book is still okay. It's still, let's say, the orders we have, but a lot of those orders is call-off orders in a way. We have frame orders as we call it for the full year. And there was low call-offs on this in this quarter, which caught us honestly with a little bit of surprise. And I mean, if you have them, let's say, few areas here at 10 percentage points or whatever that were sales than you expected or what you had in the order book. And that is why our reading of that situation is actually that it is an inventory reduction ongoing and whether that is in an anticipation of lower demand for these kind of customers or whether it's simply speculation on lower raw materials or whatever, we don't know. And – but that is, I mean is thousand of customers who is kind of all them – not all of them but, let' say, several of them buying less than they indicated in the beginning of the year. And that hurt us in Q2 and it's continued to hurt us a little bit in Q3. And we cannot really see that once again in the underlying end market demand. And so that is really the disappointment, if I may say it, within Sealing Solutions, while still a very good development in medical and healthcare, good. I mean, in the aerospace, we have still have a very solid demand, and we don't really, cannot really catch-up with the underlying demand. And we also see now a bounce back a little bit, which has been a bit slow for a few quarters on the, let's say, electrification and semiconductor business. But we see now some battery business coming in. There's been a lot expectation on this area, but I mean it's little bit slow in actual orders. But we do see that is coming down and we're seeing an improvement. So we are, overall, let' say positive on Sealing Solutions, while this kind of what read as inventory reduction has, in a way some would caught up with the surprise and we are not really ready for that. So we have been hit a little bit in the quarter, but under absorption in some of our manufacturing units as we did not want to give inventory. Of course, we could have been running it and building inventory, but we decided to cut the volumes instead of building inventory, which I think you can see the cash flow was very well-managed, although it is somewhat lower than on. Long explanation, but I mean I wanted to see. I hopefully see, what we see here.
Klas Bergelind: Yes. Very quick final one on construction on TSS, looking at Europe versus North America. Am I correct to assume that Europe is sort of bottoming year-over-year, right, is facing an easier comp and that incremental weakness is more in North America?
Peter Nilsson: Correct. But nevertheless, we don't see really continued going down in North America either. So we do expect it to be flattish in a way. But of course, with a substantially lower level than the old good days, if I may say that, but at least it's flattening out, and we have been adjusting this. So there, we've been a little bit different compared to -- because we did anticipate that, and we have been kind of able to flex that cost. So that is not hitting us on the margin as much as we may be losing a little bit on the margin in Sealing Solutions. So that is something which has been well managed by our guys in that unit adapting to this lower demand.
Klas Bergelind: Thank you.
Operator: The next question comes from Erik Golrang from SEB. Please go ahead.
Erik Golrang: Thank you. I have two questions. And the first one is probably going to repeat a lot of you said, but I didn't get all of the demand and destocking comments through over my head. So if you could just zoom out a bit.
Peter Nilsson: Yes. 
Erik Golrang: Q1, Q2, Q3, how is demand, i.e., orders for you developed? And what's been the destocking part of that? Just a big picture.
Peter Nilsson: Orders dropping from Q1 to Q2 then flattish from Q2 to Q3. And let's say, so that has been kind of -- so we don't really see a difference in order intake between Q2 and Q3, if you look at the overall level. There was some fewer call-offs. I mean you do a framework, do you get orders and then the customers kind of said I want to pick this up and then the order. And that is something which has been caught a little surprise in Q2, some destocking and then we have also -- we expect continued destocking in Q3, which is for this, let's say, give or take, one–third of Sealing Solutions where it's kind of exposed to this kind of market. And I mean, Erik, honestly, it's difficult for us to judge. But of course, it's a few percentage point on total sales of Sealing Solutions, which we are talking about. I mean, the orders is there, but the customer is not really do the call-offs. And for sure, it's been down a lot more than the underlying markets. And that is where we are a little bit open. I mean, sometimes even though you have all the facts and you have everything, it's difficult really to do a firm analysis and get back to the figures. We are maybe a few months too late adjusting a little bit for lower demand. But that is the way it is sometimes. And we feel confident that we will be able to manage this and we'll be able to adjust it. We might take another quarter or something to get it fully back on track. But we are addressing it, and then we are, once again, I mean, I shouldn't say surprise is the wrong word. We do expect it to be slightly better. And then we -- based on the order intake and based on our, let's say, previous experience on orders linked to actual deliveries. So I don't know, Fredrik, if you want to add something. It's okay, Erik. Otherwise, I'm…
Erik Golrang: Yeah, absolutely.
Peter Nilsson: I just -- I don't want to hear.
Erik Golrang: Stop now -- otherwise, I'd be confused again. On second question on the M&A market. Obviously, you have pretty big ambitions there, and you have a balance sheet to -- that you can deploy. What's the -- I mean, we're getting increasing comments that private price expectations are coming down as the stock market is, should we expect more activity as a result of that, or what's the situation?
Peter Nilsson: We have been focusing on this quite some time, and we have, of course, something in the pipeline. I mean it is a little bit softer market, as you say. So expectations are going down. And then it's matter to get the deals done and to make it. So we are working, as I said, not on a -- definitely not on something which is similar in size of Minnesota, but we have a few, let's say, interesting prospects in the pipeline. And as you said before, focus for us, medical and healthcare, electronics, semiconductors, aerospace and then also some smaller bolt-ons, potentially in Industrial Solutions, which is further strengthening the already strong positions here. So this is the focus, and we are working. We have ongoing discussions, but you never know exactly if or when they will end.
Erik Golrang: And how much would you be willing? Where we stand today? How much would you be willing to spend today on M&A without reducing the buyback pace of around, call it, SEK one billion per quarter?
Peter Nilsson: I mean we can probably spend a one billion or €1 billion or something like that without kind of impacting us if you look little bit in a few quarters. I mean, cash flow is strong. So I mean, at the moment, where we are basically financing the cash back with the operating cash flow. So we don't really see, even if we spend for €1 billion, so we don't see any kind of impact even, even higher, Fredrik.
Erik Golrang: I say it's even higher. I mean, we can -- if possible or needed, we can go up to 1.5 times net debt-to-EBITDA or even though closer to two times for a short period if we find the right target. But I think based on the size, Peter and I are talking about, we are not close to that kind of leverage.
Peter Nilsson: No. I mean, also to clarify, we have nothing like that in the pipeline. So don't expect that to happen in the next month or so.
Erik Golrang: Thank you.
Operator: The next question comes from Olof Larshammar from Danske Bank. Please go ahead.
Olof Larshammar: Thank you. Two questions from my side. Firstly, on China, we have heard from some other companies that have reported that they have somewhat of an improvement in demand in September. It would be interesting to hear your comments on that as well. And then secondly, organic growth minus 1%, what was price in the quarter? And if I look historically and taking away financial crisis and could be a bit sort of like that, let's say, a normal industrial slowdown, Sealing is down 3% to 4%, 5%, 6%. So maybe we're close to that in terms of volume development as of now. But any color would be interesting? Thank you.
Peter Nilsson: On the China situation, definitely flattening. I don't say it's improving really at the moment. But when we do see it's not going down anymore, and we kind of expect, let's say, that it will improve going forward, but we cannot really see it in order books yet to be fully transparent. But for sure, it's not going down anymore. So that I think what you can say about China. Pricing volume, Fredrik, it is for you.
Fredrik Nilsson: I mean, we have said -- as we have said before, it's less and less impact from pricing. Of course, there was much more impact from pricing in both Q1 and Q2 due to the rollover FX. I will say, it's a minor impact in the third quarter. And then also about this structural growth for the previous comment on growth in Sealing Solutions. We have changed the kind of overall profile of Sealing quite a lot if you compare it to pre-COVID. I mean, we are far more in medical and healthcare. We have far more in aerospace based on medical and of course, linked to a few acquisitions while aerospace is kind of growing narrowly. Of course, we had done some smaller, very big acquisitions, one in outside of Seattle, other one in Germany. But overall, I mean, the growth in aerospace has been from organic. And so let's say the overall profile of Sealing Solutions is getting less and less exposed to this kind of structure. We still have this, which we commented already fluid power, which goes into construction equipment and tools and this kind of stuff, agriculture which is kind of more cyclical. But I mean, Sealing Solutions is moving to become a far less cyclical business than it was a few years ago. And that's, of course, something we would like to continue once again to hopefully make some both organic investment, but hopefully also in M&A. We're strengthening us in electronics and semiconductors. And of course, hopefully, we'll continue to invest both to create -- which we already commented on, we are investing a lot in people to continue to grow aerospace and medical good organically. And hopefully, we can supplement that also with some smaller acquisitions down the line, which overall will create a much more stable and solid Sealing Solutions. And on top of that, of course, we still have this very high on the priority list with regards to Sealing to get MRP or Minnesota Rubber, let's say, to get to the same margin level as we had before on Sealing Solutions. So that's, I think, some comments on that.
Olof Larshammar: Yeah. Thank you very much.
Operator: The next question comes from Timothy Lee from Barclays. Please go ahead.
Timothy Lee: Hi. Thanks for taking my questions. I have two questions. So first of all, regarding your outlook statement for the fourth quarter, I just wanted to have a little bit more elaboration from your side regarding the statement, which seems to be somewhat stabilized in the fourth quarter compared to the third quarter. Can you elaborate a little bit more on this? Are you seeing the overall macro or demand is not deteriorating further, such that the volume would not drop anymore and there will be less destocking additives from your customer side, or is it due to the company's specific factors like patterns mix to compensate those macro headwinds? That's the first question. And second, on your EBITA margin. Can you elaborate a bit further in the fourth quarter development? That means like for the Industrial segment, will it be further benefit of TIS and mix improvement? And for Sealing Solutions, would it be like further impact by like [indiscernible] activities? That's my question.
Peter Nilsson : Okay. Talking about the orders, Tim. I mean the order intake is flattish for us. We have been -- as I said before, we read this that we have been hurt in the last few quarters and a little bit once again, we get back to this inventory reductions, especially on Sealing Solutions, but also partly on the Industrial Solutions and also Industrial Solutions has on top of these inventory reductions, we'd be, of course, hurt by this, yes, severe downturn in residential construction. So overall, we feel that this has been down to a level where it's going to remain. And that is why we feel confident in telling that we see a stable demand quarter-on-quarter. We don't really see an improvement quarter-on-quarter, but at least we see a stability and we don't expect this to, from our point of view, deteriorate any further, once again coming from residential contraction flattening and from less impact from inventory reductions. So that is something which is then ends up for us making this comment. On the fourth quarter margins, I mean, we don't really want to elaborate. I don't know if you want to say anything about that, Fredrik. I mean, we -- I think we have to keep our guidance on the level where we have it.
Fredrik Nilsson : Yes. Sorry to being the boring guy here. I mean, I think we need to think and reflect upon that, we have some normal seasonalities, so you have to think about that. More than that, I think we cannot guide then more than we have done on the demand side.
Peter Nilsson : Sorry for that, Timothy, but we don't want to give any details on that one.
Timothy Lee: No problem. Thank you so much. That's helpful. Thanks.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Peter Nilsson : Thank you, and thanks to all of you for listening in. As we are, I say, exiting, we believe, a solid quarter. We see demand for us flattening out. We see sales flattening out. We do not see any deterioration here, at least not for Q4, and then who knows what's beyond that. So we feel confident. We have been adjusting our cost. We continue to adjust our cost level to this, let's say, less -- let's say, flattish growth. So we continue to invest both in our structure. We continue to invest in creating a better growth platform going forward. So we are continuing to build a better and more solid Trelleborg with less kind of cyclical exposure and more solid overall growth going forward. So happy to catch up with each of you and give you more flavor on this development. And of course, as usual, if there is any follow-up questions today or tomorrow or anything given that, also Christofer is here to support you. So please reach out to Christofer if you want some more flavor of any of the topics that we discussed today. So thanks again, and do take care and see you soon.